Operator: Good day and welcome to the VPG 2020 Fourth Quarter and Fiscal Year Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Steven Cantor, Senior Director of Investor Relations. Please go ahead.
Steven Cantor: Thank you, operator, and good morning, everyone. Welcome to VPG’s 2020 fourth quarter earnings conference call. Our Q4 press release and accompanying slides have been posted on our website. An audio recording of today’s call will be available on the Internet for a limited time and can be also accessed on our website. Today’s remarks are governed by the Safe Harbor provisions of the 1995 Private Securities Litigation Reform Act. Our actual results may vary from forward-looking statements. For a discussion of the risks associated with VPG’s operations, we encourage you to refer to our SEC filings, especially the Form 10-K for the year ended December 31, 2019, and our other recent SEC filings. On the call today are Ziv Shoshani, CEO and President; and Bill Clancy, CFO. And now I’ll turn the call to Ziv for some prepared remarks. Please refer to Slide 3 of the quarterly presentation. Ziv?
Ziv Shoshani: Thank you, Steve. I will begin with some commentary on VPG’s consolidated financial results and sales trends for the year and for - Q4. Bill will provide financial details and our outlook for the first quarter of 2021. On Slide 3, we ended the year on a solid note. Before discussing the fourth quarter in detail, I want to summarize some of the key highlights of 2020 for VPG. Looking back to the beginning of last year, it is difficult to image the human, social and economic impacts from a global pandemic that has touched every part of the world. Despite the challenges, I am proud of how VPG’s team responded and the resilience we demonstrated and continued to demonstrate to this global crisis. I want to list a few of our accomplishments. First, we responded quickly and decisively to the challenges of the pandemic. As we put in place measures to protect our employees and our customers. These measures included workplace distancing and enabling employees to work remotely if their job permits it. Restricting travel as well as cost control such as salary freezes. Second, with the exception of our four sensors operation, we continue to operate through the crisis and we are able to seamlessly serve our customers around the world. Third, when government imposed lockdown in India significantly impacted our operation resulting in $10 million of revenue shortfall for the year. We overcame numerous challenges to return to full production by the end of the third quarter. And fourth, we continued to implement our long-term strategies and investments which included growing our advanced sensors business by 41% to an annualized run rate of more than $35 million and moving forward with adding additional manufacturing capacity to support future advanced sensors growth with the new facility. And most importantly I would like to thank the VPG employees around the world for the dedication and customer focus during the turbulent and challenging 2020. Moving to Slide 4, looking at the fourth quarter we achieved fourth quarter sales of $75.4 million which was 11.7% higher than the third quarter and 9.1% higher than a year ago. Sales grew across our portfolio of businesses and across our end markets with double-digit sequential growth in the test and measurement, transportation and avionic military and space markets and continued strength in some of our other markets such as consumer medical and precision agriculture. Orders grew 9.4% from the third quarter of 2020, although trends across our end markets continue to be mixed. The majority of our markets continued to rebound reflecting the improving economic outlook. On the positive side, we had strong sequential orders in the test and measurement, transportation, industrial weighing and general industrial. Although these markets remains below pre-pandemic levels demand in consumer precision agriculture and medical also continued at high sustained levels. Our project driven orders in the steel market and avionic, military and space market remains soft. While demand for the majority of our products is generally driven by economic and industrial activity and our customers product cycle, our higher average selling price systems like our KELK, DSI and Pacific Instruments products are generally driven by specific customer capital projects in the steel and the avionic, military and space markets. The quarter-to-quarter variability of orders for these products is due to the project driven nature which is what we have experienced in the fourth quarter. The net results of these trends was a book-to-bill of 0.93 for the fourth quarter. Our adjusted gross margin in the quarter, excuse me was 38.0% included headwinds due to unfavorable product mix as well as temporary effects of inventory reductions and certain manufacturing inefficiencies as compared to the third quarter of 2020. However in these items - were at normal levels, adjusted gross margin would have been in the 40% range. Similar to the level we reported in the third quarter of 2020. We achieved an adjusted operating margin of 10.7% and an adjusted earnings per share of $0.43 in the fourth quarter which were in line with our quarterly target model. Moving to Slide 5, turning to the results by segment, we achieved sequential growth in the fourth quarter across all - three business segments. For Foil Technology Products, fourth quarter sales of $36.5 million grew 10.9% sequentially and 23.1% from a year ago driven by a strong performance in the precision foil resistors, advanced sensors product line and Pacific Instruments product lines. Sequentially, the increase in precision foil resistors reflected growth in the test and measurement market, particularly for semiconductor test equipment. Advanced sensors had another great quarter growing 5% sequentially and 71% year-over-year driven by strong demand for consumer-related applications. Our Pacific Instruments product line grew sequentially and year-over-year in avionics, military and space market. Adjusted gross margin for FTP was 38.9% in the fourth quarter of 2020 declining from 41.6% in the third quarter of 2020, but improving from 34.9% in the fourth quarter of 2019. The sequential decline in adjusted gross margin primarily related excuse me to unfavorable product mix, manufacturing inefficiencies and inventory reductions which was partially offset by higher volume. The book-to-bill for FTP was 0.84 in the fourth quarter which reflected a sequential decline of $2.5 million in orders. A portion of the decline related to lower orders for Pacific Instruments’ data acquisition systems. Orders for these systems are driven by specific defense projects which can have longer order cycle. In addition, orders for advanced sensor declined from an exceptionally strong booking quarter in the third quarter of 2020, but remained at high level given strong demand in its end markets. Orders for our precision foil resistors increased reflecting demand in the test and measurement end markets. The pipeline of opportunities for advanced sensors continues to be robust which underscores our confidence in the investments we have made in this initiative. We are continuing to operate at the maximum manufacturing capacity for advanced sensors while we move forward with the installation and qualification of the equipment that will give us the needed additional manufacturing type capability at our new facility. We are on track to complete the transition to the new facility in the third quarter of 2021. For the Force Sensors segment, it was a quarter of continued recovery. Fourth quarter sales of $16.3 million improved 17.2% from the third quarter of 2020 driven by orders and backlog we are operating at a pre-pandemic levels at our India facility. In terms of OEM specific Force Sensors product, which is one of our key growth initiatives sales grew 27% sequentially. Financially Force Sensors adjusted gross margin of 29.6% in the fourth quarter declined from 31.2% in the third quarter but grew from 24.2% in the fourth quarter of 2019. The sequential decline in adjusted gross margin was primarily due to a reduction of inventory partially offset by an increase in volume book to bill for Force Sensors was 1.18 as orders for both industrial weighing applications and OEM product for precision agriculture medical and construction applications were higher. Sales of Weighing and Control Systems in the fourth quarter of $22.7 million increased 9.4% sequentially, but declined 7.1% from a year ago sequentially we had higher sales of our onboard weighing solutions and process weighing solutions in Europe while still related sales were flat. Sales of our truck weigh and van weigh rebounded by 46% from the third quarter and we see the potential for the EU regulation driven aftermarket opportunities for these products to accelerate in the second half of this year. Adjusted gross margin in the fourth quarter for WCS was 42.5%, adjusted for COVID impact and decline from 44.9% in the third quarter, mainly due to unfavorable product mix and inventory reductions, partially offset by higher volume. In terms of sequential trends in WCS segment, orders for on-board weighing and process weighing products were higher. KELK and DSI orders were soft. Demand for KELK products typically have two quarter lag relative to inflections in the steel market. The result of this WCS orders, trends in the third quarter was a book-to-bill of point 0.88. As we think about 2021 we are encouraged by the progress being made around the world regarding vaccinations and bringing the rate of COVID infections down. While there is much more to do and there are many risks still remaining before the pandemic is fully under control we believe that as the world in our market returns to normal, we have the foundation and the ongoing customer opportunities to achieve a year of growth and execution across our businesses. Many of those opportunities are a result of initiatives we have put in place and executed over the past several years such as our advance sense of initiative and the move to optimize manufacturing footprint for Force Sensors. As part of these long-term strategic initiatives, we expect to continue to implement further organic growth and cost savings projects. We are also continuing to look for attractive acquisition, opportunities to add additional high quality strategic businesses to the VPG platform that will further accelerate our growth and profitability. I will now turn it over to Bill Clancy for additional financial details. Bill?
Bill Clancy: Thanks Steve. Referring to Page 6 of the slide deck. In the fourth quarter of 2020, we achieved revenues of $75.4 million, gross profit of $28.7 million with 38.1% of sales, operating income of $5.9 million or 7.8% of revenues and net earnings per diluted of $0.01. During the quarter however, we had the filing adjustments to our P&L and non-cash charge of $2.4 million related to the impairment of goodwill and indefinite-lived intangible assets for Pacific instruments. $0.5 million of net credit mainly related to a COVID-related subsidy from the Canadian government and $200,000 of restructuring charge. In addition because we maintain operations in Israel in certain locations in Asia, changes in exchange rates may be a meaningful factor in understanding period-to-period comparisons. Beginning this quarter, we are adjusting our adjusted net earnings and adjusted net earnings per diluted share for the impact of foreign currency exchange rates on our re-measurements of assets and liabilities. These adjusted are reflected on a comparable basis in the non-GAAP reconciliation tables in our press release. Consequently, we recorded a foreign exchange loss of $2.1 million in the fourth quarter, mainly reflecting the strengthening of the shekel relative to the dollar in the fourth quarter which impacted our balance sheet items including our lease liabilities. Considering these adjustments, our adjusted gross profit was $28.7 million or 38% of sales, adjusted operating income was $8.1 million or 10.7% of sales and our adjusted net earnings per diluted share was $0.43. Our fourth quarter 2020 revenues increased a 11.7%, compared to $67.5 million in the third quarter and increased 9.1% from the fourth quarter a year ago. Foreign exchange for the fourth quarter of 2020 had a positive effect on revenues up by $1.4 million, compared to a year ago and $700,000 as compared to the third quarter of 2020. Our gross margins decreased in the fourth quarter 38.1% from 40.5% in the third quarter. On an adjusted basis, the fourth quarter gross margin of 38% decreased from 40.5% in the third quarter of 2020. Our operating margin was 7.8% for the fourth quarter of 2020. Excluding the above mentioned charges and COVID-19 subsidy, our fourth quarter adjusted operating margin was 10.7% which decreased from the 11.7% we recorded in the third quarter of 2020. Selling general and administrative expenses for the fourth quarter of 2020 were $20.2 million or 26.7% of revenues, compared to $20.2 million or 29.2% of revenues for the fourth quarter of 2019 and compared to $19.1 million or 28.4% of revenues in the third quarter of 2020. Of the $1 million sequential increase in SG&A, approximately $400,000 related to the impact of foreign exchange. The adjusted net earnings for the fourth quarter of 2020 were $5.8 million or $0.43 per diluted share, compared to $5.3 million or $0.39 per diluted share in the third quarter of 2020. We generated adjusted free cash flow of $5.9 million for the fourth quarter of 2020 as compared to $1.4 million for the third quarter of 2020. We define our adjusted free cash flow as cash from operating activities, less capital expenditures plus any sale of fixed assets. Our capital expenditures for the fourth quarter were $7.1 million which relate primarily to the purchases of equipment and related infrastructure for the new advanced sensor facility. For the full-year of 2020, we invested $22.9 million of capital expenditures. As part of our long-term capital allocation strategy, in 2021, we expect CapEx to be in the range of $24 million to $28 million of which approximately two-thirds relate to expansion and cost reduction projects primarily in the FTP segment for advanced sensors and precision foil resistors. We recorded a tax expense of $1.7 million in the fourth quarter of 2020 related to the acquisition of DSI to utilize deferred tax liabilities against deferred tax assets. We are assuming an operational tax rate in the range of 27% to 29% for the 2021 planning purposes. On slide 7, we entered the fourth quarter with $98.4 million of cash and cash equivalents an increase of $8.6 million from the third quarter. Our total long-term debt was $40.6 million. We believe that we have a strong balance sheet and ample liquidity to support our business requirements and to fund additional M&A opportunities. The outlook. Given the improving business environment, our strong cash flows, financial positions and strategic investments gives us confidence that we can achieve growth in 2021 as the global economy and our markets continue to recover from the pandemic. For the first fiscal quarter of 2021 at constant fourth fiscal quarter 2020 exchange rates we expect net revenues to be in the range of $63 million to $70 million. In summary, we were pleased with our fourth quarter top line performance despite the impacts to our gross margin. We achieved an adjusted operating margin in line with our targeted model. Our advanced sensor business continues to perform well and the transition to new advanced sensors facility is proceeding on track. And finally we expect our business trends to improve through the year as the global economy and our markets continue to recover. With that let's open the line for questions. Thank you.
Operator: [Operator Instructions] And the first question comes from John Franzreb with Sidoti & Company. Please go ahead.
John Franzreb: I guess I want to start on the advanced sensors. Ziv, you said that the order bookings was down in Q4 versus Q3, but Q3 was much strong. Could you just elaborate A) a little bit more about that and B) how does the January bookings play out?
Ziv Shoshani: Okay. So, regarding advanced sensors as we indicated, there is another record quarter in terms of revenue and we did report the run rate. If we analyze that now we are over $35 million. As we stated already a quarter ago, John, we are running at a 100% capacity. The fact that we were running at full capacity in addition to the fact that we had already received very, very high order levels. I have to say that if we look just - if we are looking at just reconciling the orders quarter-over-quarter, the complete gap is a semiannual order that has been placed in Q3 that has not been placed in Q4 and are expected to continue going forward. So, the environment is - for advanced sensors, is strong - is strong based on our consumer products. It’s continues to be strong with the expectation of - other end markets to continue and rebound further along the year. And the fact that we are adding more capacity and transitioning to the new facility only indicates that we would continue to see strength for this product line in 2021.
John Franzreb: And Ziv will that facility be completed by the second quarter of 2021 or is the timeline changed in anyway?
Ziv Shoshani: As we indicated - the transition will be - as of now is expected to be completed end of Q3.
John Franzreb: Q3, okay. And regarding the currency - along the currency impact a little bit, could you talk a little bit how it's impacted the gross margin line and the operating expenses in the quarter? And what - we should be think about that on a go forward basis I know the steps really hurting you - probably at a 10-year high at this point?
Bill Clancy: Okay so John in two part yes John.
John Franzreb: Okay.
Bill Clancy: So if we look at the currency impact - sequentially the total impact on the operating margin was $200,000 negative and year-over-year - fourth quarter, fourth quarter down the operating margin the impact was zero - on the operating results.
John Franzreb: All right then our - I was just actually looking at the sequential impact on the cost of goods sold line - I'm curious what the step up there then?
Bill Clancy: All right so on a sequential basis - I mean the impact of the exchange rate was - a positive $200,000 sequentially.
John Franzreb: Okay.
Ziv Shoshani: John, if you are looking just to reconcile the adjusted gross margin quarter-over-quarter as we indicated the biggest impact is - or the main effect is not coming from ex-rate. The main effect and I would like to state that as you know Q3 was an extremely exceptionally very, very high adjusted gross margin. But nevertheless to reconcile - that the impact came from a close to I would say well it's $900,000. A temporary one $900,000 came from inventory reduction and even fiscal then we had an additional unfavorable product mix of $500,000. We had around $200,000 of additional logistics costs due to the fact that the freight forwards and the capacity constraints of logistics from Asia to the U.S. and to Europe is not back on track, while - as the yield move along we expect those freight and these costs will go down. And manufacturing inefficiencies of around $300,000 mainly, coming in the advanced sensors due to the fact that as we are running at a 100% capacity every small hiccup can generate a larger effect which is a temporary one. So, all in all I think that by far most of the effect over $1.5 million is - those are temporary effects that should not continue along the year, but that's really the gap between the adjusted gross margin Q3 in respect to Q4.
Operator: The next question comes from Sarkis Sherbetchyan with B. Riley Securities. Please go ahead.
Sarkis Sherbetchyan: Just want to touch on the 2021 CapEx guide. I think you mentioned $24 million to $28 million on the year, two-thirds of that relating to the expansion and then cost reduction initiatives at FTP. Can you maybe help us understand the cadence of spend. Is that going to be more loaded towards the first half of the year or is that going to be pretty radical as the year goes by?
Ziv Shoshani: Okay. Generally speaking, if we take a typical normalized deal given - the capital equipment lead time, we would always see higher spending through Q3 and generally speaking Q4 would be the highest. This 2021 is kind of a carryover in respect to COVID and in respect to COVID. Therefore we have been placing orders for equipment that will - that to some extent I would say around 25% of that were not - our suppliers were not able to ship us in 2020 and the expectation is to get it in 2021. So, I would say that we may see - still the second half of the year slightly higher than the first half, but - noted the gap would not be as high as we would expect in a normalized year. And maybe the other thing, it's important to state that last year the focus was more on the infrastructure with the new facility and this year - where most of the capital investments wouldn't be in equipment around FTP. And we are going also to invest much more in precision resistors for expansion and cost reduction in order to enhance and support organic growth.
Sarkis Sherbetchyan: Understood and thanks for that. Can you expand on your decision to invest in precision resistors, is this something that is in conjunction and helpful towards your advanced sensor business or is this something that's a little bit more independent and you see some clearer trends or there's a business case to be made, so that can you maybe touch upon this?
Ziv Shoshani: Sure, sure, absolutely. FTP’s consists of two main platform one, is precision resistors and the other one is so-called strain gage data acquisition platform. So we are speaking about precision resistors, which is - kind of a completely different business. We have identified opportunities to develop new - I would say new products and new platforms in order to reach out to I would say to higher volume applications. Therefore the intention is to expand infrastructure capacity in our Japanese facility mainly in order to enhance our longer term plans to support those higher volume opportunities, which would be mainly around the test and measurement applications.
Sarkis Sherbetchyan: Okay, thanks for that. Just want to switch over to the outlook here for the first quarter of 2021. You mentioned a range of $60 million to $70 million sales. I think if I take the midpoint of that guidance struggle it's down low-single digit year-on-year. I just want to get your sense for the guidance. And as we look towards your expectations for growth for the year, would you expect the growth so there in - by the midpoint of this year or by the end of this year, just trying to get a sense for reconciling your expectation for growth relative to the guidance we see today.
Ziv Shoshani: True. Absolutely. So first it's important to state that orders for the quarter has increased 9.4% in respect to prior quarter and the backlog is still very strong at $87.6 million. The fact that we have been providing this guidance is due to our shipments commitments, the backlog is a reflection of our shipment commitments to our customers, which means we have seen some orders being placed for the second quarter. In addition to that, we have seen that the backlog is also composite of our backlog reflect also a lower portion of our project driven orders like KELK like DSI. At this point in time given the environment that we have indicated and the expectation for all our end markets to rebound except steel which at this point in time is fairly still soft due to the fact that as I indicated its two quarters lagging behind. I would say that we should expect to see an improved business environment as a firm - as of the beginning of the year which means we will not have to wait to the end of the year. Things will start to continue and flow through to the year. So the expectation of an improving environment will continue as of Q4 will, our expectation is it will continue to grow gradually as we move along the year starting in Q1.
Operator: The next question comes from Dick Ryan with Colliers. Please go ahead.
Dick Ryan: Thank you. So Ziv on the advanced sensors you're running at capacity expansion coming on in third quarter. Are you losing any opportunities with customers potentially saying the design phase waiting for the expansion is too long? Are you losing out on any opportunities? And then maybe an additional question - I think you are building capacity 40% above the run rate - it wouldn't seem unreasonable to think you're going to be knocking on that door as we get toward the end of the year - the first part of next year. What sort of one-timer’s experience or financial resource wise that you build the initial capacity - won't you have to go through as you expand that facility further over the next few years?
Ziv Shoshani: Okay. Great. So let me start maybe with the first part of your question. So it is - you know in a way you kind of insinuated if you’re running at a 100% with the certain capabilities you potentially may lose - let's say opportunities - so first I have to state that we understand that at this critical time those are good problem, but nevertheless it's still critical times. We have to manage quite well our customer satisfaction our customers lead time and to be able to deliver on that - I have to say that in addition to that as we have started to put in place new equipment in the new facility we would be running in parallel ramping up the new facility while maintaining at the 100%, so we will not have to wait until the complete transition in order to get the full additional capacity on board. So, we would expect to see hopefully I would say within two quarters much more capacity in place. In addition to that, the fact that I would say there are capabilities, the designed capabilities of advanced sensors are as such that in many cases those I would say that the product, the specs, the size, the complexity cannot be replaced by another supplier. We have a unique and proprietary platform. So the fact is that we really have to manage well and to service our customers because again it's not that we have planned to be in that position, but we do have a unique value proposition to that sense. But we are adding capacity as quickly as we can and we would expect to see more as I said definitely before the transition is completed. And as I stated before, it should be at least 40% higher - around 40% higher than the current capacity. In addition, today if you were looking at - I would say what is the transition cost of the one-time cost. Because in addition, we are looking at the start of cost of around $2 million that we are going to incur during the first three quarters in order to install, qualify, transition, equipment, install new equipment, transition current equipment from the current premise to the new premise mostly will happen in the second and third quarter, but from a reporting standpoint those will be reported in our non-GAAP we will exclude it in our non-GAAP measures. From an overhead standpoint I think that most of the cost - well the least cost and other additional cost has been already added to and is already being reflected in our financials. And we are just expecting some additional overhead to support the new I would say the new facility capacity of around maybe an additional $200,000, but pretty much most of the cost is already reflected in Q4 results.
Dick Ryan: So some of the logistic issues you cited are you or are your customers making any changes within the supply chain are there issues that you're looking at specifically there that you won't have some logistic issues going forward?
Ziv Shoshani: Okay, the logistics issues are mainly I would say transportation of products from Asia to the U.S. and to Europe due to a lack of capacity from our freight folders mostly this mostly imply for Force Sensors because our largest manufacturing and the highest logistics costs come from Force Sensors where we use [CECL] - mostly CECL and to a smaller extent elsewhere because those are very large heavy metal products. At this point in time we are trying to manage the cost the best we can given the timing and - but we don't see any showstoppers. There might be some delays and some - and to a low - and I would say to a low extend some delays and additional and as I said some additional higher costs. But as things are - as the world and the freight for those are getting more capacity in place we see this we would expect this phenomena to go down significantly in the coming quarters.
Operator: [Operator Instructions] And the next question comes from Bill Dezellem with Tieton Capital. Please go ahead.
Bill Dezellem: Two questions, first of all, are the inventory reductions that were hurting margins here in this quarter are those now complete or should we anticipate to some more to come. And then secondarily you had referenced that you think you will see some strengthening in the truck and van weigh business in the second half of the year. Would you talk in more detail about what you're seeing that leads to that optimism?
Ziv Shoshani: Sure, absolutely. So regarding the first part of the question, yes, we should expect the inventory reduction. Well, it was a significant reduction in addition to book to fiscal not to continue in the coming quarters. Regarding your other question truck weigh and van weigh as we started as Europe was much of the businesses well in a lockdown situation we were running on a on a very, very low level. I think that Q4 is a reflection that Europe has been opening their businesses and we see much more business activity. So, this is getting more to a normalized level. I mean getting to a normalized despite the fact that we are still way below pre-pandemic level and the expectation that Europe will continue to recover is one indication why we should expect to see an improved environment in truck weight and van weigh in addition to the fact that we have been speaking about the EU regulation that are expected to be in place as of May 21 while we know that there is an expectation for the aftermarket demand and we are targeting that. So given the fact that we should expect to see - given the regulation we should expect to see some aftermarket demand in the second half of the year. So those are really the two vectors that we are looking - this is why we are looking for an improved business environment for truck weigh and van weight. In 2021…
Bill Dezellem: Okay.
Ziv Shoshani: And in particular in the second half of the year.
Bill Dezellem: Great. Thank you for the perspective.
Ziv Shoshani: Thank you.
Operator: The next question is again from John Franzreb with Sidoti & Co. Please go ahead.
John Franzreb: Yes. Just want to ask about any kind of additional costs we should be thinking about that we deferred from which may come on board. I know you already touched on might be high. I assume travel entertainment will be still weak. Is there anything else that we should be thinking about back in 2020 versus 2021?
Ziv Shoshani: Sure John. So, so as you know we, we have implemented few drastic measures in 2020 given the pandemic one of them for an example was a salary freeze that we should expect to go back to, to unfreeze it in 2021. So salary freeze as of the beginning of the year should be in place. Regarding travel, you are absolutely correct, I mean COVID is not completely off, but, but the expectation is definitely that we should see much more intensive travelling in the second half of the year hopefully as things are getting more to a normalized level. And then there were some other I would say cost related for example Mark and others due to travel restrictions that the company was not able to, to do in 2020 we should which should go back to a more normalized level. But the main effect is a salary freeze and travel costs and.
John Franzreb: And one other question, just remind me, do you have any exposure to the mining and metal markets besides steel. Any exposure there given what happened in commodity costs. Is there potential, therefore turnaround to do?
Ziv Shoshani: From a commodity standpoint. I think that by far the biggest impact is, is steel. We are not, we are not so much, we are not impacted by for example the precious metals and those type of model. It’s, it's predominately steel.
John Franzreb: I just wanted to double check. Thank you for taking my questions.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to Steve Cantor for any closing remarks.
Steven Cantor: Before we close, I just want to remind everyone or let everyone know that we will be presenting at the Virtual Sidoti Growth Conference in March and you can see our website for more details on that. Thank you again for joining the call and have a good day.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.